Operator: Good day, ladies and gentlemen, and welcome to the Great Southern Bancorp Incorporated First Quarter 2018 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instruction will follow at that time. [Operator Instructions] And as a reminder, this conference maybe recorded. I would now like to turn the conference over to Ms. Kelly Polonus, with Investor Relations. Ma’am, you may begin.
Kelly Polonus: Thank you, Serena. Good afternoon and welcome. This is Kelly Polonus, Investor Relations for Great Southern. The purpose of this call is to discuss the company’s results for the quarter ending March 31, 2018. Before we begin, I need to remind you that during the course of this call, we may make forward-looking statements about future events and future financial performance. You should not place undue reliance on any forward-looking statements, which speak only as of the date they are made. These statements are subject to a number of factors that could cause actual results to differ materially from the results anticipated or projected. For a list of some of these factors, please see the forward-looking statements disclosure in our first quarter 2018 earnings release. President and CEO, Joe Turner; and Chief Financial Officer, Rex Copeland, are here with me. I’ll now turn the call over to Joe Turner.
Joe Turner: All right. Thanks, Kelly. And I want to thank everybody on the call for joining us today for our first quarter earnings call. I’ll provide some remarks about our performance during the first quarter. And then I’ll turn the call over to Rex Copeland who will give a little bit more detail on the income statement. And then, of course, we’ll open it up for questions. Hopefully, everybody on the call has had a chance to review our earnings release. If you have, then you saw that we had an extremely good quarter. We earned $0.95 a share, $13.5 million in the first quarter. Our annualized return on common equity was 11.22% and our annualized return on average assets was 1.23%. Our margin – stated margin was 3.93%, and I think our core margin during the quarter was 3.81%, which was up like 13 basis points from the end of the year. As far as loan portfolio goes, good news all around, I think. Our loan portfolio increased $35 million during the quarter on funded outstanding. Our total gross loans and we exclude the FDIC-acquired loans from this number, but our total gross loans, which would include unfunded construction loans, increased $80 million during the quarter. And that increase was primarily in construction and commercial real estate. As we’ve talked about previously, our auto loans did continue to decrease. They decreased $34 million in the quarter, and we would expect that to continue to happen at kind of that level, at least through the end of the year, I think. Asset quality was also very good during the quarter. We started with almost historically low levels of problem assets. And they remain relatively consistent, I think. Non-performing loans may have – I guess, our overall level of non-performing assets decreased by $472,000. The level of potential problem loans was pretty well consistent with the end of 12 – with the end of 2017. Foreclosed assets did increase by $1.4 million during the first quarter. Total net charge-offs were $2.1 million during the quarter. $1.3 million of that was consumer net charge-offs, and then the rest was commercial. Of the commercial, there were three larger charge-offs that amounted to $626,000 and those were all on older, vintage project. Our capital continues to be very strong. Total – it grew $8 million during the quarter to about $480 million, which is 10.9% of total assets. And book value per share $34.02%, and tangible common to assets is 10.7%, so strong, strong capital ratios. As far as business initiatives go, I’m sure you all saw that we entered into an agreement to sell our Omaha area deposits to West Gate Bank. We expect that transaction to close in the third quarter of this year. When it does close, we expect to book a gain of $6.5 million to $7 million, which would amount to $0.35 to $0.38 after tax. After the transaction, on a go-forward basis, we expect that our net interest income will decrease annually by about $300,000 to $350,000. We expect non – we expect net interest income, essentially interest expense, to increase $300,000 to $350,000 and non-interest expense to decrease by $1.1 million to $1.2 million, so a positive operating event for us as well. That concludes my prepared remarks. At this time, I’ll turn it over to Rex.
Rex Copeland: Thank you, Joe. I want to speak for a moment about net interest margin. Joe touched on that earlier. And so for the first quarter in 2018, our core margin, as he said, which excludes the additional yield accretion from the FDIC-acquired loan pools, expanded to 3.81% in the quarter, which was an increase, I believe, of 22 basis points from a year ago quarter and 13 basis points from the fourth quarter of 2017. Primarily driving that is expansion – driving the expansion is increased yields in most of our loan categories and also higher yields on the balances that we maintained at the Federal Reserve Bank. We’ve indicated in our past filings that rising interest rates would potentially have a modestly positive effect on our net interest income and margin. We saw that here in the first quarter of this year. We would anticipate that as rates move higher, generally speaking, that those trends would continue modestly. And one thing that we’ll all step out a little bit is, if we have a lot of pressure to raise rates on deposits, certainly our wholesale funds borrowings and things are going to – rates will move up kind of along with the market rates. But we will continue to do what we can to maintain and monitor raising rates on our deposit products. Non-interest income, we actually had a decrease in non-interest income this quarter compared to the first quarter of last year of about $763,000. A couple of things happened in the previous year quarter that were kind of some extra items. We did have a couple of large loan payoffs last year that generated about $500,000 in fees to us. We didn’t have that level of prepayments and things in this quarter that generated those kinds of fees. Also, other income, last year, we did have some residual income effects related to some federal tax credits, better than first quarter last year that were larger than kind of normal, and so we did record some additional income last year on that. One other thing that I would note in the other income section or non-interest income section, is profit on loan sales. That is down this year compared to the first quarter of last year. That’s somewhat due to a change in the type of loans that we’re originating in the mortgage loan area. A lot of what we did a year ago was fixed rate, loans which we sold to secondary market. This year, the kind of customer demand as well as kind of some things we’ve been looking at, we’ve originated more kind of hybrid-arm type loans, whether they’re fixed for three or five years and then become adjustable, rather than fixed from the beginning and stay fixed for the whole period. And those loans we do generally maintain in our portfolio. Non-interest expenses, I think we’re well contained in this quarter compared to the fourth quarter of last year and the first quarter last year. Our total non-interest expense was $28.3 million this quarter. We listed a few items in the earnings release, which kind of played into that a little bit. The other thing, obviously, that we benefited from in this first quarter this year was the tax reform, the implications of that. This year, our first quarter effective tax rate was decreased quite a bit. It was 16.4% in the first quarter this year compared to 26.1% in the first of last year. Our effective tax rate has been below the stated rate in both last year and this year period due to some municipal income or tax-exempt income, and also more so investment tax credits that we utilized. And so our tax rate is below the 21% stated federal rate here in the first quarter. As long as we have those credits available to us and flowing through the process, we would anticipate that our effective tax rate would be less than the statutory rate of 21%, as we move forward. That concludes our remarks right now. And at this time, we’ll entertain questions. And I’d like to ask our operator, once again, remind the attendees of how to queue in for the questions.
Operator: Thank you. [Operator Instructions] And our first question will come from the line of Michael Perito with KBW. Your line is now open.
Michael Perito: Hey, good afternoon everyone. Thanks for taking the question.
Joe Turner: Hi, Mike.
Michael Perito: So I have a couple, and I did hop on a few minutes late, so I apologize if you covered this. But I wanted to first start, I noticed that the new share of purchased authorization that you guys mentioned in the press release, seems like it’s about 3.5% of your outstanding shares. Obviously, it was a pretty good first quarter from a profitability perspective, so the internal capital generation seems to be building. Curious, just from your internal perspective, how aggressive or how much you plan to utilize that, as we kind of think about our models going forward.
Joe Turner: Well, it’s obviously going to depend on the availability of stock, and we’re always with the share repurchase, as with everything, we’re executing it in order to increase long-term shareholder value. So we’re really not focused on trying to push the stock price over the near term. Having said that, we think the shares at their current level represent a value and represent an opportunity to – if repurchased, to increase longer-term shareholder value. So we’re excited to get going with it.
Michael Perito: As you guys, can you help us maybe just think about – as you’ve discussed with the board, capital, I mean, the TCE ratio is almost 11% today. I mean, is the hope that – the commercial loan growth was, again, pretty good in the quarter? Obviously, there’s still some room for the consumer book to move down. But eventually, that will presumably show, which will let the loan portfolio kind of grow at a bit more of a rapid pace. So is there hope that the organic growth some level of buyback and future dividend increases kind of keep the TCE ratio in this 10% to 10.5% range rather than building? And then, obviously, if you can find some M&A that makes sense, maybe that’s what gets you down to the next level?
Joe Turner: Right. I think that’s reasonable assumption.
Michael Perito: Okay. And I was just – overall, the credit metrics still seem fine. I just noticed some of the – obviously, you guys gave really good detail on the asset quality in the release. I noticed that there was a handful of commercial credits, I think, that went NPL in the quarter. And I was just curious if there’s any particular area or line where you’re seeing weakness, or were they’re pretty widespread? Just curious what the credit update is, maybe, more specifically.
Joe Turner: No. Very, sort of, specific issues with different customers, nothing that was – that would create sort of a systemic concern. So – and the other thing to point out, Mike, is they’re all older, vintage credits. I mean, we really haven’t had any problems to speak with commercial credits generated post crisis, really. So all older-level or older-vintage credits, and there just happen to be something happened to the customers in each of those cases.
Michael Perito: Okay, helpful. Thanks, Joe. And just one last one for Rex on the margin. The core margin has trended pretty well over the last three or four quarters. Just curious, competitively, we’re hearing from a lot of the larger banks that commercial real estate, consumer auto, the pricing is getting challenging. Just curious of your near-term margin thoughts on the core margin and also, just on asset pricing, what kind of market you’re seeing out there today.
Rex Copeland: Well, I think, as far as the asset pricing, I think it’s really competitive. And Joe, you can probably to that as well as I can. But we do have, in our loan portfolio, about $1.3-or-so billion of our portfolio is tied to LIBOR. And so you know as LIBOR rates have been moving up, that portfolio has generally been repricing higher. I’d say, generally, most of the newer loans that we’ve been originating are coming on at higher rates than they were six months ago. I mean, that – I mean…
Joe Turner: I’d say, probably, roughly equal. Yes, it is competitive. I would echo that, Mike, the spreads on construction loans seem to spread the LIBOR, seems – seem to be 2.50% to 3.25%, those kind of spreads for the most part. Fixed-rate spreads for longer-term commercial real estate deals can get much tighter than that. So I would agree that the competition on the asset side that does seem to be – well, on the deposit side for that matter, seems to be heating up on both sides. And so we’re – that’s why we like to have a number of offices producing deals, because we feel like we can be more selective, again, as we’ve told you before, on crediting and on pricing and still have reasonable growth rates.
Rex Copeland: And we do have a variety of wholesale-type funds that we can draw on if we need to, so we don’t have to reprice up all of our deposits. We may, selectively, increase some deposit rates in various types or locations. But we’re not completely reliant on raising deposit rates to generate some funding. So we do have a variety of sources, and we try to utilize those as efficiently and effectively as we can.
Michael Perito: Great, thank you very much for the color, guys. Appreciate you for taking my questions.
Joe Turner: All right, thanks, Mike.
Operator: Thank you. And the next question will come from the line of Andrew Liesch with Sandler O’Neill. Your line is now open.
Andrew Liesch: Hey, guys.
Joe Turner: Hi, Andrew.
Andrew Liesch: Question around the margin, just the earning asset mix here, securities and Feds’ funds getting down to pretty low percentage of assets. Is there a level that your target from a balance sheet liquidity here?
Rex Copeland: Not necessarily that we target. But I think, what your observation is probably accurate that it’s gotten down to a fairly low level. We – like I said, we do have some off-balance-sheet ability to fund some things. We’ve got quite a bit of capacity, actually, to do some things off-balance sheet. But we are mindful of where we are with our securities portfolio and on-balance sheet liquidity. So you are correct, it’s a fairly low percentage.
Joe Turner: Yes. I would say, Andrew, if you’re trying to put together a model, I wouldn’t see it drifting too much lower from where it is now.
Andrew Liesch: Okay. And then just to clarify, the improvement in the loan yields across most types, is that really been driven by the improvement in LIBOR? Or is there anything else behind that besides that?
Joe Turner: No, I think it’s just market rates increasing, generally.
Rex Copeland: LIBOR and prime. We’ve probably got $400-and-something million that are tied to prime also. So between the two, $1.8 billion, $1.9 billion of our loan portfolio are tied to fairly short-term adjustments in rates.
Andrew Liesch: Okay. Great. That covers my questions. Thanks.
Joe Turner: All right. Thanks Andrew.
Operator: Thank you. [Operator Instructions] And our next question will come from the line of John Rodis with FIG Partners. Your line is now open.
John Rodis: Good afternoon, guys.
Joe Turner: Hi, John.
John Rodis: Joe, just back to the buyback. So it is your intention to actively use it this year, is that what I’m hearing?
Joe Turner: Yes, I think so. I think we like the – we like our – at the price our stock is trading, we like it as a long-term investments for our shareholders. So yes, I would say so. Given where we’re trading and given the level of capital we have, I think we’d like that as an opportunity.
John Rodis: And then, Joe, as far as we look, you sort of – the growth and construction offset the run-up in auto this quarter, do you, sort of, think we would probably see a similar level of growth throughout the rest of the year? Or how should we sort of think about that?
Joe Turner: It’s just so hard to – it’s so hard to predict. I mean we just – the visibility on payoffs and those sorts of things is not that good, John, and that’s why we don’t give forward guidance, as far as growth goes. I think, I would point you to our comments in this presentation and in the earnings release with respect to the commitments, unfunded commitments, I mean are really strong, the strongest they’ve ever been. So you would think origination volumes would – or would continue to be pretty good. I can tell you that we have strong activity in most all our offices. So we feel good about that. I just – it’s hard for me to tell you exactly what our growth will be like because I just don’t have a great visibility on the payoffs and pay downs. And I can tell you, we do have a very attractive loan portfolio that’s well structured and our customers do have lots of opportunities.
John Rodis: That makes sense. Joe, just one other question. There was a deal announced in Springfield yesterday by – I’m sure, you saw it. I guess, to the extent you can, what did you think about that deal? Was that something you had a look at, just any color you can add?
Joe Turner: I have not studied the parameters of that, that much. So I probably wouldn’t be comfortable commenting on it or opining on it.
John Rodis: Okay. Do you compete against that bank? I’m not sure.
Joe Turner: Yes, we do some. They’re – the QCR you mean…
John Rodis: The Springfield Bank.
Joe Turner: The Springfield first. Yes, we do. I mean, we – they’re a good, solid local bank, and I think do a good job. Not talking about them specifically, but just about consolidation in general, I think we have found that when our competitors merge, it’s not a bad thing for us. It does typically create opportunity, and so we hope this does as well.
John Rodis: Make sense. Okay, thanks guys.
Operator: Thank you. And I’m showing no further questions at this time. I’d like to turn the conference back over to Ms. Kelly Polonus for any further remarks.
Kelly Polonus: Well, thank you for joining us today. If anyone does have any further questions, please feel free to contact me, and I can try to assist you with that. If not, we look forward to meeting again with you next quarter.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude your program. You may all disconnect. Everyone, have a great day.